Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 Providence Service Corporation Earnings Conference Call. My name is Shantelle and I will be your coordinator for today’s call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.
 I would now like to turn the presentation over to your host for today’s call, Ms. Alison Ziegler of Cameron Associates. Please proceed. 
Alison Ziegler: Thank you. Good morning, everyone, and thank you for joining us for Providence’s conference call and webcast to discuss financial results for the third quarter ended September 30, 2012.
 Before we begin, please note that we have arranged for a replay of this call. The replay will be available approximately one hour after the calls conclusion and will remain available until November 15. Replay number is (888) 286-8010, with the pass code 32681979. This call is also being webcast live with the replay available. To access the webcast, go to www.provcorp.com and look under the event calendar on the IR page.
 Before we get started, I’d like to remind everyone of the Safe Harbor statement included in the press release and that the cautionary statements apply to today’s conference call as well. During the course of this call, the company may make projections or other forward-looking statements regarding future events or the company’s beliefs about its financial results for 2012 and beyond.
 We wish to caution you that such statements are just predictions and involve risks and uncertainties. Actual results may differ materially. Factors which may affect actual results are detailed in the company’s filings with the SEC, including the company’s 10-K for the year ended December 31, 2011. The company’s forward looking statements are dynamic and subject to change, these statements speak only as of the date of this webcast, November 8, 2012. The company may choose from time-to-time to provide updates and, if they do, will disseminate the updates to the investing public.
 In addition to the financial results prepared in accordance with generally accepted accounting principles stated in the press release and provided throughout the call today. The Company has also provided EBITDA and adjusted EBITDA, non-GAAP measurements, which present its earnings on a pro forma basis. Providence’s management utilizes these non-GAAP measurements as a means to measure overall operating performance and to better compare current operating results with other companies within its industry.
 Both EBITDA and adjusted EBITDA are measurements not determined in accordance with or an alternative for generally accepted accounting principles and may be different from pro forma measures used by some companies. A definition, calculation and reconciliation to the financial statements of each can be found in our press release.
 The items excluded in the non-GAAP measures pertain to certain items that are considered to be material so that exclusion of these items would, in management’s belief, enhance a reader’s ability to compare the results of the Company’s business after excluding these items.
 I’d now like to turn the call over to Fletcher McCusker, Chairman and CEO. Go ahead, Fletcher. 
Fletcher McCusker: Alison, thank you very much. Alison has been marooned in Hoboken for the last week. So we’re happy to see you surface and dry. Welcome from Tucson, we are actually together here today working on our 2013 budgets. We bring all of our managers in this time a year for a 3 day round of budget, so here together in the same room is Michael Deitch our CFO; Craig Norris, our Chief Operating Officer; and Herman Schwarz, CEO of LogistiCare. And as usual we’ll all be available to take your questions following our scripted remarks.
 We are happy to report that Q3 was a much better quarter operationally for us with the notable exception being Canada. You will remember from our Annual Meeting that we identified 4 what we call hotspots that were negatively impacting our operating results, our Canadian Social Service operation and 3 non-emergency transportation states.
 Canada has shuffled its delivery of services and we were awaiting to rebid of our entire book of business. Fixed contract announcements were outstanding at the end of last quarter. We can now report we won 2 of those, lost 2 of those and then the Ministry postponed the final 2 without any ability to forecast the final 2 awards, we are forecasting our Canadian revenue to drop by about 15%. This triggered the impairment review in Q3.
 We are required to seek an independent valuation under these circumstances and compare forecast results to our initial acquisition expectations. Through that process the resulting anticipated decrease in earnings requires us to basically mark-to-market the intangible value associated with this acquisition, which in this case was about $2.5 million or $0.19 a share. Even if we are subsequently awarded these contracts, the timing is such that will not affect this impairment charge and of course we don’t get to adjust the impairment charge once it has been taken. Without this charge EPS for Q3 would otherwise be $0.28, a very good seasonal quarter for us.
 Also during the third quarter, we’ve begun to show adjusted EBITDA numbers to as Alison said to better demonstrate our operational performance and provide a more complete picture of the unusual items that have impacted us this year from impairment to startup to strategic review of expenses. This presentation is also consistent with how most of our peer companies now report. Of the 3 NET states previously identified as negatively impacting our operations, we have resolved the rate issues in one of those states, as to the other 2, one state has agreed to rebid its contract and we remain in negotiations with the third.
 We are bidding in 3 new states that have opted to outsource transportation, Maine, new regions in North Carolina and Rhode Island. Collectively this represents a $100 million annually of new business. We won about $170 million of annual new business in 2012. We have elected to pass on the NET Alabama bid and of our current book of business only one contract term is ending in 2013, that's Oklahoma, currently about $30 million of revenue.
 You will notice that we executed on our previously announced stock buyback. We purchased and retired 293,000 shares at an average price of $11.87. I have authorization to continue this buyback for up to another 250,000 shares.
 I’ll let Michael now talk about the quarter and the new adjusted presentation. 
Michael Deitch: Thanks, Fletcher. In our third quarter of 2012, revenues totaled approximately $280.3 million, up from approximately $235.6 million, for the third quarter of 2011, a 19% increase. For the 3 months ended September 30, 2012 as compared to 3 months ended September 30, 2011, Social Services segment revenue decreased 6.2%, the transportation segment revenue grew 34.4%.
 Third quarter operating income totaled almost $5 million, which was 1.8% of our revenue. This includes an asset impairment charge totaling approximately $2.5 million for our Canadian operation. This compares with approximately $5.9 million and 2.5% of revenue for the third quarter of last year. Third quarter net income totaled approximately $1.2 million, which was 0.4% of revenue. This compares with approximately $2 million and 0.8% of revenue for the third quarter of last year.
 Third quarter diluted earnings per share totaled $0.09 on approximately $13.3 million diluted shares outstanding, compared with $0.15 diluted EPS for the third quarter of last year. Our effective tax rate was approximately 62% for the quarter. This unusually high rate resulted primarily from permanent non-deductible items applied to a relatively low pre-tax earnings amount, including the impairment charge and as discussed in our form 10-Q for the quarter.
 For the full calendar year of 2012, our expected tax rate is estimated to be approximately 46%. At the end of our third quarter, our days sales outstanding was 32 days and our management fee days sales outstanding was 81 days. Cash provided by operating activities was good in Q3, totaling $22.8 million, allowing us to report cash provided by operations of $39.9 million for the first nine months of this year.
 During the quarter, we retained approximately $2.5 million of convertible notes. At the end of our third quarter, we had almost $63.8 million in unrestricted cash and short-term and long-term debt obligations, totaling $140.5 million. Subsequent to quarter end in October, we paid down the outstanding balance on our revolving line of credit, totaling $8 million.
 With that, I will turn the call over to Craig Norris, our COO. 
Craig Norris: Thank you, Michael. For the quarter, our direct client census on the social services side was approximately 51,000 clients. This is a decrease from the prior year quarter of roughly 6,000 clients. This census decline primarily relates to reductions in our workforce and job training programs both in Canada and in the U.S. We did, however, recently signed a $6 million award in Wisconsin for workforce services that will improve the census numbers going forward.
 The NET segment had approximately 14.8 million individuals eligible to receive services under our LogistiCare division, an increase of approximately 4.4 million eligible members compared to the same quarter in 2011. Our direct and indirect clients are being served from 526 local offices in 41 states, the District of Columbia and Canada. Combined between our owned and managed entities there are approximately 11,500 employees serving 846 contracts.
 For this quarter, there was a lot, rather a large reduction in the Social Service segment contracts. This primarily is due to external pressure on our tutoring business as a result of policy changes to the No Child Left Behind Act. The changes in the act allows school districts to opt out of the tutoring benefit and we have seen this impact our contract renewal rate.
 This remains a relatively small part of the social service business overall and we will have only minor impact on annual revenue in 2003. The year-over-year decline in social service revenue is primarily in the workforce development and job training programs in Canada and in the U.S., including one contract we did not renew due to poor funding levels. The Wisconsin award will improve on this revenue in 2013 by $6 million.
 Our core Medicaid operations within the social services segment performed mostly at plan overall, especially considering this quarter had the summer seasonal months of July and August. And lastly, we are finishing negotiations on a large $28 million social service contract that we have been awarded as a pilot to privatize a child welfare system in one region in a southern state. The terms of this contract are currently being negotiated and we anticipate that we will begin providing services in 2013. We expect revenue just over $13 million in the first year under this contract.
 With that, I’ll hand over to Herman for more details on LogistiCare. 
Herman Schwarz: Thank you, Craig. Good morning, everyone. The NET segment enjoyed a solid third quarter as our revenue continued its impressive growth and margins improved to targeted levels. The new business added over the past year generated a year-over-year revenue increase of 34.4%, and we continue to experience quarter-over-quarter growth albeit a more normal 4%.
 During the third quarter, we added new business in Georgia with the start of the last of the 3 regions we won in the RFP process last year. We also implemented phases 3 and 4 of the New York City contract, which included the boroughs of Manhattan, The Bronx and Staten Island and we also added a new contract in Wisconsin.
 In addition we continue to add new populations to our managed care contracts across the country, but especially in California, New York, Florida, and Hawaii. Most encouraging in the third quarter was the improvement in margins in spite of the usual seasonal impact of higher utilization in that quarter.
 Our gross margin in Q3 was nearly a point higher than the same period last year and reflected the efforts we’ve been making in improving the transportation expense. This margin improvement was achieved without any benefit of better pricing from our clients although in selected contracts as Fletcher mentioned we continue to negotiate to adjust our per member, per month rate.
 Additionally in spite of the growth in ASO or Administrative Service Contracts like New York City, where operating expense represents a higher percent of sales. We have managed to control the spending in these areas and kept the percent of revenue relatively flat. The sales pipeline is active as 3 states are in procurement processes right now. Maine and Rhode Island are both in the decision-making stage. We submitted bids in late October and anxiously await announcement of the awards. Maine is split up into 8 regions, So there will likely be multiple awardees while Rhode Island is a statewide procurement.
 Third state is North Carolina which is initiated its RFP in the last couple of weeks. The state is split into 3 regions and could be awarded by a region or a statewide. This submission was originally due on the 15 of this month, but we have just recently been told that it will be delayed by a few days. Our pursuit of new opportunities is tempered by the fact that if we cannot make a contract work and the client will not consider a rate adjustment, we will execute a timely exit from the contract. As such, we will be exiting the Arkansas market as we head into 2013. This is a case where the rate we were being paid was not suitable. So we worked out a short-term deal that allowed the state to rebid the contract. The new RFP was based solely on price and while a few of our competitors chose to offer the highest discount allowed, we determined that the pricing at that level did not generate a positive margin.
 For the same reason, we also did not bid on the RFP in Alabama that was discussed on last quarter’s call. We will continue to maintain this discipline as we work through negotiations with other states.
 I’ll now turn the call back over to Fletcher. 
Fletcher McCusker: Herman, thank you very much. It’s been an amazing year. We’re very grateful to you and your staff. We’ve seen a lot of states on the social services side paralyzed lately awaiting the outcome of the election. Most of our Medicaid colleagues have been unwilling or unable to plan for Medicaid expansion, especially in Republican-led states with the democrats solidly maintaining control of the White House and the Senate. The Healthcare Affordability Act will no doubt now be the law of the land. States can opt out, but we expect very few will. This means somewhere in 2014, approximately 11 million new enrollees will enter the Medicaid system.
 We’re in Tucson as we speak planning on how this company can maximize our efforts to this window of opportunity, and we’ve remained very bullish on our position in Medicaid as we expect to see the rollout of additional NET states as Herman has described and we fully expect to see the flatness in social services begin to reverse in July of 2013. And we have already won as Craig mentioned $20 million of new business for calendar 2013 in that segment.
 With that Shantelle, we will take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Rick D’Auteuil. 
Richard D'Auteuil: So the Canadian margin impact from the rebids Fletcher, I assume it’s directionally down, but… 
Fletcher McCusker: The margin is not the issue so much Rick is the volume of business versus what we acquired. We lost about 50% of our revenue and about 50% therefore of margin. The margin percentage we’re still okay with, but that results in a mark-to-market kind of situation. So we still see opportunities in Canada. We've committed to hang in there. These 2 postponed contracts, we still hope to get awarded. Our Wisconsin win that Craig described was modeled after the Canadian programs. So it’s worthwhile for us to stay involved. The issue was really a timing issue in terms of business loss that triggered the impairment triggers. 
Richard D'Auteuil: A couple of things, so on the 2 that haven’t decided yet, 2 regions or that were postponed, you are the incumbent, so when you say 50% decline, does that includes the loss of those or what does that assume? 
Fletcher McCusker: Well, our whole book of business was rebid there, so we went roughly from $22 million of revenue to $12 million currently awarded. So yes, there is still some revenue outstanding, but we don’t, we can’t at this point tell you when or if those contracts will be led. 
Richard D'Auteuil: Okay. So, but the 12 includes just your 2 wins, it doesn’t include the ones that are still up in the air? 
Fletcher McCusker: Correct. 
Richard D'Auteuil: Okay. But you are still providing the service for the 2 that were postponed, right? 
Fletcher McCusker: No, no. 
Richard D'Auteuil: You are not. 
Fletcher McCusker: That would be in new business. 
Richard D'Auteuil: Okay. I think that was all in one province, were there opportunities in Canada outside of that province to expand the services? 
Craig Norris: Yes, hi, Rick, this is Craig. Yes, that the primary business when we acquired WCG was in British Columbia, we have since expanded our reach to other provinces around Canada, including a Federal contract that we work for veterans in Canada. So we very much see expanding beyond this province and get out from under just one payer there essentially. So there are opportunities, the system is moving a little bit slower than I would like certainly, but we are reaching out beyond where we started this business. And I’m confident that we’re going to continue looking at these new areas in growing this business, it’s just taking a little bit longer than I would have liked. 
Fletcher McCusker: We have won our first contract in Alberta. 
Richard D'Auteuil: Okay. Actually, Craig while you’re on, on the Wisconsin win, that’s the 20 something million dollar annually? 
Craig Norris: That’s the $6 million. 
Richard D'Auteuil: The $6 million. So that what was the, did we identify it, it’s the southern state, okay. On the southern State win, you call that a pilot, is that the pilot revenue, or is that the full, or is there an opportunity if it goes from a pilot to something more than a pilot to be substantially larger? 
Craig Norris: Yes, I mean this is a pilot within one state and how it goes the state will evaluate the outcomes and they may pursue expanding it in other areas of the state, so it really is a true pilot that can grow beyond what we’re reporting for this current contract. 
Michael Deitch: Probably not in 2013, Rick. 
Richard D'Auteuil: No, I understand. On the Herman side of the business, so just, so I understand there is, Oklahoma was the mentioned contract that you call that ends next year. Is that one that we’re not going to pursue or and I think you said Arkansas, you’ve opted out of, I just want to make sure I’ve got that right? 
Craig Norris: You got that right. Arkansas, we agreed with the state that they should go back out to rebid given the contract the way it’s restructured we could execute and opt out in June of this year, but agreed to extend to allow them to put out an RFP. We’ve got the pricing. We wanted during that interim period. So by the first part of next year they’ve already secured a new broker and that broker will be coming in, so we opt out of that one. Oklahoma, we have exercised all the options that are available so that contract just expires next June and they’ve already got their RFP out on the street for the rebid. 
Richard D'Auteuil: Okay. 
Fletcher McCusker: And we’re bidding on that one. 
Richard D'Auteuil: Okay. And then on Arkansas, what’s the revenue impact on that? 
Michael Deitch: About $10 million to $11 million. 
Richard D'Auteuil: And it was poor margins you are saying? 
Fletcher McCusker: At the rate that we were being paid prior to June, yes. 
Richard D'Auteuil: Okay. And then on the new opportunities you sized as the $100 million. What’s the timing around those 3 states, well Maine, new regions in North Carolina, I think Rhode Island would be a new state also, right? 
Fletcher McCusker: Yes, no all of them would be new states. North Carolina is currently running their own program. They’ve put out the bid where they have 3 regions; it’s not clear whether they’re going to award by region or by states. So I think that’s what we were trying to say there. Timing, I can’t recall off hand exactly Rick, but I think either the first part of next year or I guess it really depends on when they are awarded. They all have been delayed a little bit already. So it’s kind of hard to go by the schedule they originally published. But Rhode Island is July 1 of next year that one I do remember, because we’re involved there through June in a  subcontracting relationship. So they are scheduled for July 1, I believe Maine is earlier than that and North Carolina is probably sometime, spring to June. 
Richard D'Auteuil: Bids are all in right? 
Fletcher McCusker: All, but North Carolina are already in. North Carolina goes in about the end of the month. 
Craig Norris: We’re awaiting decision announcements on those rigs probably in the fourth quarter. 
Richard D'Auteuil: And Maine was to be done in regions also right? 
Fletcher McCusker: Correct. 
Richard D'Auteuil: And you responded to... 
Craig Norris: We responded to all the 8 regions, we responded to all eight with some caveats on a couple that were not as desirable as 2. And so we’re not quite sure how they’re awarded. The reason it was done regionally is, because they do use some regional trend, transits did respond to the bid for their specific regions. So that really leaves 6 regions that are open to kind of the national brokers. 
Richard D'Auteuil: Okay. 
Fletcher McCusker: Now, the other regions could go to a national broker. They may decide to give him all, but frankly I would be surprised. I would expect the transits to get the regions that they bid on. 
Richard D'Auteuil: Okay. Where you were displaced in Arkansas, there was a new vendor, was this one of the vendors that has fallen down in a prior program, or is this a new player? 
Fletcher McCusker: Neither. This is a, what a company that we took business from in Georgia in the most recent RFP. So that they’ve historically had a presence in Georgia and a little bit in Tennessee, and that’s about it, they are a minority owned company out of Atlanta that we know fairly well. And they picked up 2 of the 3 regions in Arkansas that we are exiting and the other one was given to a local agency. 
Richard D'Auteuil: Were there any net startups in this quarter? 
Fletcher McCusker: Wisconsin, a new contract in Wisconsin started in September 1 and the Georgia regions started July 1, and then the New York phases that I mentioned. 
Richard D'Auteuil: But how about quantifying the startup costs? 
Fletcher McCusker: $250,000. 
Richard D'Auteuil: Okay. And in the Q4, what’s the expectation? 
Fletcher McCusker: $0.5 million for the really large influx scheduled for January 1 of the managed care population in New York City, it’s about 2 million people. 
Richard D'Auteuil: Okay. 
Fletcher McCusker: So we are already starting to staff and train the additional staff we are going to need to handle that starting July 1 -- January 1. 
Michael Deitch: In our adjusted EBITDA presentation I think we are backing out those startup costs. You’ll see them to the penny. 
Richard D'Auteuil: Okay. And then the impact of Sandy, not that it’s a positive event, but sometimes weather, is a positive for your business, weather events are positive and it hit New Jersey, which is a major state for you guys. So any thoughts at this point on Sandy impact on utilization? 
Fletcher McCusker: Yes. I fully expect that our fourth quarter utilization will be down as a result of Sandy. Obviously, we incurred additional cost in our other call centers, because we moved calls and supports, obviously we have 6 operations in the states that were impacted. So we could not get staff in and lost power, although actually we did not lose power in any of our operations, but our staff had a hard time getting in as you can imagine. So we did run over time and things like that in some of the other locations, but we do anticipate a positive impact from the storm. 
Craig Norris: Just too, on the social service side Rick, we will probably see some impact primarily from our school-based business in a few states because of the storm. So we’ll have a little bit of downside on the social service side on the opposite end. 
Richard D'Auteuil: Okay. Herman, the one rate resolution was that a large state or not? 
Herman Schwarz: Yes. 
Richard D'Auteuil: Okay. And was it a retroactive solution or was it and when does it kick in? 
Herman Schwarz: It was not retroactive. So there is no pickup there, what you can expect is schedule to kick in as of November 1. 
Richard D'Auteuil: Okay. 
Fletcher McCusker: But that’s assuming everything and get signed which hasn’t happened because of the impact of Sandy. 
Richard D'Auteuil: Okay. And any progress on this one you’re still negotiating or not? 
Fletcher McCusker: Well, the election ended this week, which was the reason they couldn’t make a decision. So hopefully we’ll know something shortly. 
Operator: [Operator Instructions] Your next question comes from the line of Mike Petusky of Noble Financial. 
Michael Petusky: I guess a few questions. A bunch of them did get asked and answered there. Could you guys size the opportunities even just in round terms in Maine and North Carolina and Rhode Island? 
Michael Deitch: Collectively, we can and it’s about a $100 million. We try not to differentiate by state because it gives away some of our bidding proprietary information. Collectively, they’re about $100 million a year. 
Michael Petusky: Okay that piece I caught. Let me just try to drill down a little bit on the North Carolina contract. Are there just 3 regions in North Carolina or are there more than that I guess essentially what I’m asking is, is Charlotte being included in that or the population centers being included in those regions? 
Michael Deitch: Yes, the stage split into 3 regions for purposes of this RFP including all of the major population. So in some form or another, the entire state will be under our broker model. The question is just whether it will be under one sole source broker or split into multiple brokers. 
Michael Petusky: Okay, all right. On the net weight negotiation that was successful, is there a specific reason you can’t identify that state? 
Michael Deitch: We never did, it’s not signed yet. So until it is I’d rather not. 
Michael Petusky: Okay. 
Michael Deitch: We typically don’t talk about rates, so… 
Michael Petusky: I think you’ve talked about New Jersey previously and I think probably at least a few people are speculating that or maybe this is New Jersey and I guess what I’m just wondering is, I think you have talked about talking New Jersey previously? 
Michael Deitch: No, I would say that New Jersey is one of the states that we are talking too. So if you want to speculate that it’s New Jersey certainly you can. 
Michael Petusky: Okay. All right. 
Michael Deitch: They would qualify as a large state as Rick asked. So, but frankly all 3 of the states that we’re talking to that Fletcher talked about are, what I consider to be large states. 
Michael Petusky: Okay. Okay, fair enough. Just jumping over to the $28 million southern state on the social services side, so you say, you expect revenue of over $13 million in the first year and you called it a pilot. The $28 million, I mean are you saying $13 million, because it doesn’t start at the beginning of the year, or this is a contract that ramps over time if it’s continued from the pilot stage, I mean, how should we be thinking about that, how that ramp would go? 
Michael Deitch: Yes. So it’s less than $13 million, because it will ramp up over the first quarter or 2. So you won’t have a full year of the revenue there. 
Michael Petusky: Okay, all right. But on an annual basis multiyear contract right? 
Michael Deitch: Yes, it’s a multiyear contract, so in year 2, we will be up at the $28 million, but year one in 2013, it will ramp up from the first and second quarter primarily. 
Fletcher McCusker: It’s a single region in a state Mike that it’s a successful might go state wide, it’s a multiyear contract. The $28 million is the fully ramped value probably starting in '14. We’re not being cute about identifying it, we’re under a confidentiality agreement that until this contract is signed, we can’t identify this state. 
Michael Petusky: Okay, all right, great. And you guys mentioned that in your budgeting process and thoughts you conceded that this was a really unusual year, tough year in some ways if you guys were victim of your own success. I mean if you look out towards budgeting 2013 and modeling 2013, I mean is your expectation that you guys will, I guess first give guidance and then that your confidence level in terms of your guidance if you do give it will be say considerably higher than maybe what it was ended up being this year? 
Fletcher McCusker: Whether or not we guide is the board call and I think there are different opinions at the board level as to whether we should or not, what we don’t want to do is obviously guide and miss and we did a lot of that this year as you suggested because of a lot of the things that impacted us particularly around the start-ups. We’ve identified 3 very large contracts that we could win, one that we’ve already won. So it’s clear we’ll have start-up expense in 2013. So if we were to guide, Mike it would probably have to include some sort of range. So that we can anticipate the investment considerations in the event we went at contract. Reform well we began to see some of the initiatives towards the end of 2013 most of that’s 2014 business. We’re highly confident that it will have significant impact to both sides of our business. We kind of got to let the government get through what they intend to do in that regard. But the enrollment will be up, it will be, LogistiCare is paid on an enrollment basis. We expect social services referral volume to increase. So we wouldn’t anticipate and now getting too close to guidance probably, but we expect both segments to be up in 2013 over 2012. 
Michael Petusky: Okay, all right. And obviously you guys got active again in share repurchase. The one thing that’s obviously communicated is do you think the stock is cheap, the other thing it may communicate is maybe you’re not seeing a lot in terms of M&A. Fletcher, I know you tried a couple times and gone down a path in terms of some assets, but can you just talk about the M&A landscape and how you guys view it right now? 
Fletcher McCusker: Sure. That’s an intuitive question. Our cash has never been better as Michael said over $60 million so we have some opportunities that the Board has authorized, one of those is to continue to chip away at the convert, which we did in last quarter we will as that comes available to us. We will continue to buy stock back particularly at these prices. We do remain active in the M&A space, but we don’t have anything queued up to the point where that’s eminent for the rest of this year. So probably the highest and best use of our cash short-term is to delever and to buy some of our stock back. 
Michael Petusky: Okay. And I congratulate, I feel like you guys are maybe getting a little bit more of a handle on. Again, I don’t want to beat upon you too much, because you did sign a whole lot of contracts, but this quarter just how I feel a little bit better than maybe the previous quarters. Thanks. 
Fletcher McCusker: It’s high praise coming from you I think. 
Operator: [Operator Instructions] We do have a follow-up question from the line of Rick D’Auteuil. 
Richard D'Auteuil: Yes. I think about a year ago you guys had a reserve for a insurance issue when you were insuring on the some of the drivers on the LogistiCare side. The thought was that, that would likely lead back to you guys after sometime went by, is there an update to that? 
Fletcher McCusker: I believe we’ve run through that, right, Michael. 
Michael Deitch: Yes, I was going to say there will be no lead back out of that. We have unfortunately experienced some fairly large claims that have settled and used up that reserve. So while we have been hopeful that the actuaries were being very conservative, it turns out that they were fairly close in their estimates in terms of how those things would settle. 
Richard D'Auteuil: Okay. 
Michael Deitch: And we’ve terminated that product. 
Richard D'Auteuil: Right. No, I understand, that’s now behind you. Is there any business beyond the one contract that was mentioned on Herman's side of the business that might be a candidate to hand back to state either on the social service side, or on the LogistiCare side of the business, because it’s got inadequate margins? 
Fletcher McCusker: The 2 states we’ve continued to discuss rate with, we would terminate if those are not successful would and could. There is really nothing on the social services side. We are not content with. 
Operator: Your next question comes from the line of Clara Houin of Avondale Partners. 
Clara  Houin: This is Clara Houin calling in for Kevin Campbell. I just have a couple of questions. One, G&A was 4.3% of revenues in 3Q and above. Is this a good run rate to use going forward? 
Michael Deitch: Well we’re not giving guidance, but yes, it’s a more normalized amount. In Q2 we had some, let me call them one-time expenses, it’s likely a better term, we had some lease breakage cost in Canada, unfortunately we had a, our dear Director passed away and there were some stock compensation adjusted in that regard, and then also Q2 we had some professional fees that were really non-recurring. So that’s the reason Q2 is higher than Q3. 
Fletcher McCusker: I think what we’ve said Clara publicly is, we expect our margin targets, we expect to return to kind of our historical margin targets in both segments. 
Clara  Houin: Okay, great. Thanks. And then on LogistiCare, is there any reason why LogistiCare margin should not improve in 2012 given the traditional seasonality in the business? 
Michael Deitch: Should improve in 2012 you mean for the rest of the year? 
Clara  Houin: Yes, in 4Q, yes? 
Fletcher McCusker: There is no reason it should not improve, no. 
Operator: At this time there are no further questions. And I would like to turn the conference back over to Fletcher McCusker for closing remarks. 
Fletcher McCusker: Shantelle, thank you very much. Thank you everyone. Happy holidays. We will be on the road in January both in New York and Florida. So look for us there if you’d like to touch base, maybe give Alison a call and we would be happy to visit you or see you at one of those conferences. And if you have any questions we didn’t get too, please call Michael or I after the call. Thank you very much. 
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a wonderful day.